Operator: Good day, ladies and gentlemen, and welcome to the Akamai Technologies Second Quarter 2016 Earnings Conference Call. At this time all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. As a reminder, this call is being recorded. I would like to turn the conference over to Tom Barth, Head of Investor Relations. Please begin.
Tom Barth - Head-Investor Relations: Thank you. Good afternoon, everyone. And we appreciate you joining us for Akamai's second quarter 2016 earnings conference call. Speaking today will be Tom Leighton, Akamai's Chief Executive Officer; and Jim Benson, Akamai's Chief Financial Officer. Before we get started, please note that today's comments include forward-looking statements, including statements regarding revenue and earnings guidance. These forward-looking statements are subject to risk and uncertainties and involve a number of factors that could cause actual results to differ materially from those expressed or implied by such statements. Additional information concerning these factors is contained in Akamai's filings with the SEC, including our Annual Report on Form 10-K and quarterly reports on Form 10-Q. The forward-looking statements included in this call represent the company's view on July 26, 2016. And Akamai disclaims any obligation to update these statements to reflect future events or circumstances. As a reminder, we will be referring to some non-GAAP financial metrics during today's call. A detailed reconciliation of GAAP and non-GAAP metrics can be found in the financial portion of the Investor Relations section of our website. And with that, please let me turn the call over to Tom.
Frank Thomson Leighton - Chief Executive Officer & Director: Thanks, Tom, and thank you all for joining us today. Q2 was another solid quarter for Akamai, with continued strong growth for our Cloud Security Solutions and excellent performance for both earnings and free cash flow. Revenue in the second quarter was $572 million, up 6% year-over-year. Non-GAAP EPS for Q2 was $0.64 per diluted share, up 12% year-over-year. And free cash flow was $165 million in the second quarter, bringing the total free cash flow for the first half of the year to $273 million, which is more than double the total for the first half of 2015. As we discussed on past calls, our overall revenue growth rate is unusually low this year, because of the do-it-yourself, or DIY, efforts of two of our largest customers. As these customers deliver more of their content themselves, it has meant less revenue for Akamai. In Q2, these two customers accounted for a little over 5% of our total revenue, down from 12% in Q2 of last year. I know that some of you have expressed concern about the broader impact of DIY on our business. And so I'd like to take a few minutes now to address the subject. While any company could, in theory, try to build their own CDN, doing so is a very expensive endeavor that I believe is simply not practical for the vast majority of our customers. In addition to the cost, it's also very difficult to build a CDN that has anywhere near the scalability, quality and security provided by Akamai. And so large-scale DIY is generally only attempted by the Internet's largest media and infrastructure companies. For the most part, we've been successful in competing with DIY efforts by offering much better performance, scale, and security at a favorable price point. There are numerous companies, including some of the world's largest, who have gone through the effort to build their own CDN and then subsequently turned to Akamai because of our superior quality and cost. Several years ago, many of the world's leading carriers had DIY CDNs, whereas today, most of them rely on Akamai for the majority of their CDN needs. Examples include AT&T, Bell Canada, China Telecom, Deutsche Telekom, Korea Telecom, Orange, Rogers, Singtel, Telecom Italia, Telefónica, Telstra, T-Systems and Türk Telekom. Overall, I believe that our risk of future revenue loss from DIY is confined to a few of the Internet's largest infrastructure and platform companies. For example, companies like Amazon, Apple, Facebook, Google, Microsoft and Netflix. Most of these companies spend large sums of money on infrastructure and some consider CDN to be a core part of their platform. All are well known to have DIY capabilities and all are Akamai customers. In aggregate, these six companies accounted for less than 11% of our total revenue in Q2, down from 18% in Q2 of last year. As you know, most of this reduction was from the two customers that we have talked about on past calls. To be clear, I'm not talking about these six companies now, because I think they're going to go away. Quite the contrary. We believe there are substantial opportunities for revenue growth in these companies over the longer term. And to the extent that there are further declines in revenues from these companies in the near term, we expect them to be more moderate than what we have experienced in the past year. While the near term concern about DIY and our largest few customers is understandable, I think it's important for you to know that the core of our business is large and growing at a very healthy rate. For example, if you exclude the contribution of these six companies, Akamai revenue in Q2 was well over $0.5 billion and growing at a rate of 15% year-over-year. As a result of this core strength and the limited future exposure in our largest accounts, we anticipate that our overall revenue growth rate will begin to reaccelerate as we enter 2017. Of course, whenever there is a lull in revenue growth, it can put pressure on margins. And while we're always careful with how we spend our OpEx, I want to assure that we will continue to invest in innovation and the development of new products to address the needs of our customers. As we look to the future, we see multiple opportunities for significant growth as more high-quality video moves online, billions more mobile devices enter the market, the number, scale and sophistication of cyber-attacks continues to rise, and as enterprise applications continue to move into the cloud. We believe that each of these trends provides significant tailwinds for Akamai. For example, in the Media Division, our OTT business has continued to grow at a rapid rate, following the record breaking results of the Super Bowl and March Madness in Q1, Akamai delivered a very successful Euro 2016. In addition to providing very high video quality in countries throughout Europe and North America, we set a new record for Internet traffic for a single sporting event, during the final round match between Portugal and France, demonstrating once again Akamai's ability to deliver live, broadcast-quality content reliably and securely at scale. Next week, we'll begin delivering the Rio Olympics over the Internet for 50 customers and partners around the world. Our award-winning broadcast operation control center will be used to ensure the utmost in quality for broadcasters, many of whom will be leveraging our accelerated ingest and client technologies as well as our 4K and virtual reality solutions. Our Web Division also performed well in Q2. We were especially pleased with the continued strong growth of our Cloud Security business. The revenue from our Cloud Security products grew 42% year-over-year and exited Q2 with an annualized run rate of over $360 million. This is a significant accomplishment, given that we started this business only four years ago. And it serves as an example of what we hope to achieve with other new product lines as we continue to invest in innovation to make the Internet fast, reliable, and secure for our customers. Along these lines, our new Bot Manager solution is off to an excellent start, with many customers already under contract and hundreds more in the pipeline. Bot Manager allows our customers to distinguish bots from real users and also to tailor their response based on the type of bot that is accessing their website. This is especially important in the context of reservation systems and identity theft. The highly differentiated value proposition for this new product has been driving higher price points, which will potentially translate into significant revenue as we grow its market presence over the next few years. Later this year, we expect to release into beta our first enterprise threat protection product, which is designed to block access to malicious sites that support phishing, propagate malware, or aid in the exfiltration of confidential data. This new enterprise service will be powered by our AnswerX technology, which is already used in over 50 million homes worldwide to protect clients from undesirable Web content. We're excited about the potential for our new line of enterprise products, which we believe has an even larger long-term market than our existing market for protecting websites and applications. In the area of Web Performance, we're looking forward to the beta release of Ion 3 in September. Ion 3 is focused on improving performance for mobile devices and especially for mobile apps. A variety of new technologies are used to improve performance, including innovative algorithms to predict what content a user is likely to request and then pre-staging much of that content on the user's device. So that when the request is made, the response appears instantly. We're also excited about the upcoming launch of Image Manager next month. Image Manager automatically optimizes the version of an image that is sent to each user based on the user's device, browser type, and network conditions. As a result, page download times are much faster, especially in congested cellular networks. Early customer feedback on Image Manager has been very positive with one early adopter reporting a 10% increase in conversion rates as a result of the performance improvement. In summary, I believe that Akamai's business and market position remains strong and I'm excited about the significant opportunities for growth that lie ahead. So much so that I will be extending my personal stock buyback program, which I announced in Q1, to continue at a rate of $1 million per month for the rest of the year. I will now turn the call over to Jim to review our Q2 financial results and to provide the outlook for Q3. Jim?
James Benson - Chief Financial Officer & Executive Vice President: Thank you, Tom, and good afternoon, everyone. Before I get into the details of our Q2 financial results, given recent investor focus on the impact of DIY among two of our largest customers and concern about the broader impact of DIY on our business, we will now expand our disclosures to include the combined revenue contribution of the six large Internet platform customers that Tom mentioned a few minutes ago. This additional revenue information is intended to help you ring-fence the potential future exposure of DIY from this class of customers and to better assess the health of our business overall. There's also the potential that these large Internet platform customers continue to grow with us. The revenue contribution of these customers as a group can be found on the Investor Relations section of our website. And now, on to the second quarter financial results. Q2 revenue came in at $572 million, up 6% year-over-year and up 15% if you exclude the six large Internet platform customers that Tom mentioned. Revenue came in slightly below the midpoint of our guidance range, primarily due to less-than-expected media traffic from one of these customers. Turning to our solution categories, revenue from our Performance and Security Solutions was $327 million in the quarter, up 16% year-over-year. Within the solution category, we saw solid growth across the major product lines, and as Tom mentioned, we continue to see significant growth and demand for our Cloud Security offerings. Second quarter revenue for our Cloud Security Solutions was $87 million, up 42% year-over-year. Exiting Q2, our Security business now has an annualized revenue run rate of over $360 million. We are pleased with how well our unique and differentiated Cloud Security capabilities are being adopted by our customers. And our recently launched BOT Manager offering is the latest example of how we are innovating to expand our security portfolio to meet strong customer demand. Turning to our Media Delivery Solutions, revenue was $197 million in the quarter, down 9% year-over-year and slightly less than our expectations, reflecting lower traffic and revenue volume from one of the six large Internet platform customers. Media Delivery revenue outside of the six large Internet platform customers continued to be solid, up 11% year-over-year with particularly strong growth among our over-the-top, or OTT, customers. Finally, revenue from our Services and Support Solutions was $48 million in the quarter, up 18% year-over-year. We continue to see strong service attachment rates for our higher-end enterprise class professional services, particularly for customers buying our Web Performance and Cloud Security products. Turning now to our customer division results, and as we shared in our last call, we are now managing the company in a customer division structure that integrates the development, product management, marketing and sales teams into three divisions for focus on the company's Media, Web, and Enterprise and Carrier products and customers. Under this division construct, revenue from our Media Division customers was $288 million in the quarter, down 2% year-over-year, but up a healthy 14%, excluding the impact of the six large Internet platform customers. Revenue from our Web Division customers was $271 million, up 15% year-over-year. We continue to see solid growth in this customer base, particularly with our Cloud Security offerings. Lastly, revenue from our emerging Enterprise and Carrier Division customers was $12 million in the quarter, up 22% year-over-year. Moving on to our geographies, sales in our international markets represented 31% of total revenue in Q2, up 1 point from Q1. International revenue was $177 million in the quarter, up 25% year-over-year, or up 24% in constant currency. Foreign exchange fluctuations had a positive impact on revenue of $1 million on a year-over-year basis and $4 million on a sequential basis. We continue to see very strong growth in our Asia Pacific geography. Second quarter revenue from our U.S. market was $395 million, down 1% year-over-year. The large Internet platform customers are based in the United States and weighed heavily on the U.S. market's results. Outside of these customers, revenue growth was solid across the rest of the business. Moving on to costs, cash gross margin was 76%, down 1 point from Q1 levels and from the same period last year and in line with our guidance. GAAP gross margin, which includes depreciation and stock-based compensation, was 64%, down 2 points from the prior quarter and down 3 points from the same period last year. GAAP operating expenses were $256 million in the second quarter. These GAAP results include items such as depreciation, amortization of intangible assets, stock-based compensation, acquisition-related charges and other non-recurring items. Excluding these items, non-GAAP cash operating expenses were $202 million, up slightly from Q1 levels and $4 million below the low end of our guidance as we continue to responsively balance investments in the business with the moderations in revenue growth rates. Adjusted EBITDA for the second quarter was $231 million, down $3 million from Q1 levels and up $17 million from the same period last year. Our adjusted EBITDA margin came in at 40%, down 1 point from Q1 levels, consistent with the same period last year and in line with our guidance. GAAP depreciation and amortization expenses were $85 million in the second quarter. These GAAP results include depreciation associated with stock-based compensation, amortization of intangible assets and amortization of capitalized interest expense. Excluding these charges, non-GAAP depreciation was $74 million, up $4 million from Q1 levels and in line with our guidance. Non-GAAP operating income for the second quarter was $157 million, down $7 million from Q1 and up $6 million from the same period last year. Non-GAAP operating margin came in at 27%, down 1.5 points from Q1 levels, down 1 point from the same period last year, and in line with our guidance. Moving on to other income and expense items, interest income for the second quarter was roughly $3 million, consistent with Q1 levels. Non-cash interest expense related to our convertible debt was roughly $5 million. As a reminder, this non-cash expense is excluded from our non-GAAP results. Moving on to earnings, GAAP net income for the second quarter was $74 million or $0.42 of earnings per diluted share, up 14% year-over-year. Non-GAAP net income was $112 million or $0.64 of earnings per diluted share, up 12% year-over-year and near the high-end of our guidance range. For the quarter, total taxes included in our GAAP earnings were $36 million based on an effective tax rate of 33%. Taxes included in our non-GAAP earnings were $49 million based on an effective tax rate of 30% and just slightly above our guidance. Finally, our weighted average diluted share count for the second quarter was 176 million shares, down 1 million shares due to our opportunistic increase in share buyback activity and in line with our guidance. Now I'll review some balance sheet items. Day sales outstanding for the second quarter was 58 days, down two days from Q1 levels. Capital expenditures in Q2, excluding equity compensation and capitalized interest expense, were $87 million or 15% of revenue, below the low-end of our guidance for the quarter. 15% is also slightly below our long-term model as we continue to monitor traffic levels and invest in network expansion accordingly. As a reminder, this CapEx number also includes capitalized software development activities. Cash flow generation continued to be very strong in Q2. Free cash flow was $165 million in the second quarter or 29% of revenue and $273 million year-to-date or 24% of revenue. Our balance sheet also remains very healthy, with $1.6 billion in cash, cash equivalents, and marketable securities on hand at the end of the quarter. If you factor in our convertible debt, our net cash is approximately $910 million. During the quarter we spent $91 million on share repurchases, buying back roughly 1.7 million shares. As of Q2 end, we had approximately $870 million remaining on our share repurchase authorization. And as we've discussed in the past, our overall aim is to deploy our capital to achieve favorable returns for our investors in a manner that we believe is in the best long-term interest of the company and our shareholders. Given our strong balance sheet and cash generation, our share repurchase authorization is intended to continue our multi-year capital allocation plan to offset dilution from our equity compensation plans and to provide us with the flexibility to opportunistically return more cash to shareholders, depending upon business and market conditions. Looking ahead to Q3, we are anticipating media traffic and revenue volumes from one of our large Internet platform customers to decline further in the third quarter. And while we see a traffic and revenue volume uptick in Q3 for the Olympics, we expect traffic patterns outside of this event to be consistent with what we have seen historically during the mid-summer months. Specifically, lower traffic volumes as people spend less time on the Internet. Given these dynamics, we anticipate a further sequential decline in our Media business in Q3, but we remain bullish on the longer-term secular trends for this business going forward. At current spot rates, foreign exchange fluctuations are expected to have a negative impact on revenue of roughly $1 million sequentially and a positive impact of $2 million compared to Q3 of last year. Factoring in all of these items I just outlined, we are expecting Q3 revenue in the range of $566 million to $578 million. At the midpoint of this range, year-over-year revenue growth would moderate to 4%. And while we're not providing specific guidance beyond Q3, we do believe revenue growth will reaccelerate entering 2017. At these revenue levels, we expect cash gross margins of 76% and GAAP gross margins of 64%, consistent with Q2 levels. Q3 non-GAAP operating expenses are projected to be $206 million to $212 million. As I have mentioned on the past couple of calls, we have purposefully slowed down the rate and pace of head count addition and discretionary spending to align with our near-term top line growth expectations. However, even with the revenue deceleration we're experiencing, we believe it is important to continue to invest for the future. Most notably in incremental R&D product innovation aimed at fueling long-term growth and scale. Accordingly, we anticipate our lower revenue volumes in the near term will likely put some pressure on our EBITDA margin profile. We anticipate Q3 EBITDA margins in the range of 39% to 40%. As I have said in the past, one of the factors that could impact our EBITDA margin profile would be revenue volumes, particularly in the Media business. And while I am not providing specific guidance beyond Q3, EBITDA margins may dip into the high 30%s for the near term. Moving on to depreciation, we expect Q3 non-GAAP depreciation expense to be $76 million to $78 million. Factoring in this depreciation guidance, we expect non-GAAP operating margin of 26% to 27% for Q3. And with the overall revenue and spend configuration I just outlined, we expect Q3 non-GAAP EPS in the range of $0.59 to $0.62. This EPS guidance assumes taxes of $44 million to $47 million based on an estimated quarterly non-GAAP tax rate of 30%. This guidance also reflects a fully diluted share count of approximately 175 million shares. On CapEx, we expect to spend approximately $85 million to $93 million in the quarter, excluding equity compensation. And we anticipate remaining slightly under our long-term model of 16% to 18% of revenue for the year. In closing, despite some near-term challenges, we remain confident in our ability to reaccelerate growth rates for the business, execute on our long-term strategy, and continue to deliver a compelling financial model for our shareholders. Thank you, and Tom and I would like to take your questions. Operator?
Operator: Thank you. The first question is from Michael Bowen of Pacific Crest. Your line is open.
Michael Bowen - Pacific Crest Securities: Okay. Thank you very much. One point of clarification, I just wanted to make sure, we're going through it pretty fast there. But with regard to what you said about Media was up 11% in the current quarter, excluding, and I want to say, did you say the big two or the big six? And I've got a follow-up.
James Benson - Chief Financial Officer & Executive Vice President: Yeah. No, what I said was that Media's up 11% excluding the big six Internet platform companies. Just to clarify on that, we're trying to provide this as a grouping to be helpful to the investors. We know that there's been concern about the impact of DIY, and so what we've tried to do is ring-fence this customer grouping that people are focused on. And based on some of the reasons that Tom outlined, and if you exclude this grouping that is really the focus of investor concerns around DIY, one, Akamai's business was a $500 million business in the quarter, growing 15% excluding these guys. So it's a very, very large and growing business. It just so happens that as we're going through a – for a couple of these six customers, as they serve more of the traffic themselves, we're seeing a moderation in Media growth rates. But, as we said, we expect that going into 2017, that we will see a reacceleration.
Michael Bowen - Pacific Crest Securities: And then maybe if I could just dig a little deeper, if I may. So with regard to the big six, first of all, are all of the big six just in the Media segment? Or do they bleed over into the other segments? And then, given that you had – I want to say it was 10% and 11% ex the big two for the Media segment, is there any way you can extrapolate for us? Or would you divulge what that is excluding the big two as far as the growth rate?
James Benson - Chief Financial Officer & Executive Vice President: Well, yeah, I think what we'd rather do is group the customers as one grouping. So that you can see the growth rates excluding all these large six Internet platform customers. And your first question was whether or not these customers are only purchasing Media products. They're predominantly customers that buy Media products. A couple of them also buy our other solutions, but they're predominantly Media customers.
Michael Bowen - Pacific Crest Securities: Okay. Then last question I'll just squeeze in, and thanks for that color.
Tom Barth - Head-Investor Relations: Mike...
Michael Bowen - Pacific Crest Securities: With regard to – yes?
Tom Barth - Head-Investor Relations: Why don't we put you back in the queue there. That's four. So...
Michael Bowen - Pacific Crest Securities: Okay. Got it.
Tom Barth - Head-Investor Relations: All right. Thanks.
Michael Bowen - Pacific Crest Securities: Thanks.
Operator: Thank you. The next question is from Gray Powell of Wells Fargo. Your line is open.
Gray W. Powell - Wells Fargo Securities LLC: Great. Thank you very much for taking the questions. So, obviously, gross margins have been under pressure this year. I'm sensing that's merely a function of the lower traffic volumes and the relatively fixed data center and infrastructure components of your cost of goods sold. So as traffic growth starts to improve at some point, should we expect that to offset your excess capacity and gross margins to improve sometime over the next six months to 12 months?
James Benson - Chief Financial Officer & Executive Vice President: Yeah. I'm not going to provide guidance beyond the quarter, but I think you're thinking about it the right way that there is a fair amount fixed cost infrastructure that you build out. And obviously, we are still doing some build-out to support things like the Euro event that Tom mentioned, build out to support the Olympics and things of that nature. But I think it's probably worth noting that that's one of the reasons why you're seeing our CapEx levels lower. Our CapEx levels are probably going to be below our long-term model. Last year our CapEx levels were above our long-term model, because we were doing some build-out for what we thought was going to be an OTT offering. So kind of look at them together that you're going to have some years where you may be a little bit above. If you believe that you're going to be building out your network to support expected traffic growth. We happen to be in a period here where we're growing into the traffic we have and selectively deploying in areas that we don't have capacity.
Gray W. Powell - Wells Fargo Securities LLC: Got it. And then, just one follow-up. In the past when there's been excess capacity, how long has it taken for traffic growth to fill in and for everything to stabilize?
James Benson - Chief Financial Officer & Executive Vice President: It depends. You know that not all traffic is the same. It depends upon the region. There are certain regions where traffic is growing very, very fast and we need to continue to do more build-out. There are other regions where you potentially have excess capacity and you have to grow into it. So it varies, and it depends upon different events that are going to occur. Again, you can have excess capacity, but you grow into it with an event like the Olympics. So it varies by geography. But we tend to do build-outs, probably, call it, three months to four months in advance. So that's generally one way to think about it, that we'll obviously modulate the network CapEx investments based on what traffic projections we see over the next, call it, three months to six months.
Gray W. Powell - Wells Fargo Securities LLC: Got it. All right. Thank you very much.
Operator: Thank you. The next question is from Jonathan Schildkraut of Evercore ISI. Your line is open.
Michael Hart - Evercore Group LLC: Hi. This is Michael Hart on the line for Jonathan. We were wondering if you could perhaps provide a little more color about some of the opportunities you're seeing with partnerships such as the announcement – your partnership with Microsoft and how Akamai is being integrated into Azure offerings. And then, also, I was wondering if you could provide a little more color on what impact to your Performance and Security revenue the new product offerings you discussed might have later this year, and then, perhaps looking into next year. Thank you.
Frank Thomson Leighton - Chief Executive Officer & Director: Let me take the first part of that. We're very happy with the new relationship with Azure and Microsoft. Now you can purchase Akamai whole site delivery for your Azure applications by checking the box. And also, Microsoft's field force is reselling Akamai capabilities across the board. So very pleased to see that happen. And, Jim, you want to take the revenue question?
James Benson - Chief Financial Officer & Executive Vice President: Yeah. Obviously, for new offerings like this, for the most part these offerings are subscription offerings. So once you have them, you have to sell them into your installed base, and then it takes a while to convert them into revenue. So they're not going to be a meaningful contributor to revenue in 2016. They certainly will contribute to revenue in 2017, but given the annuity nature of the business and the time to revenue for some of these things, it takes a while. But I think Tom's bigger point for these is, it wasn't that many years ago that we didn't have a security business. We launched a security business and we introduced a product Kona Site Defender. We then acquired Prolexic and we've expanded since then. That business, call it, four-and-a-half years later is now a $360 million business. I think what Tom's referring to is these are new offerings that we're going to add. And in the case of BOT Manager, it's an offering that has similar ARPUs as some of our other security products. And so we believe it's going to be a very strong contributor to security growth in the near term. And the same is true for the offering that Tom mentioned in the Web Performance family, that these are adjacent – Ion 3 obviously is an improvement to our existing product, but Image Manager is obviously an extension to the offerings that we already have. So these offerings, I think, are going to help fuel growth in security and help reaccelerate growth in our Web Performance products.
Michael Hart - Evercore Group LLC: Great. Thank you very much.
Operator: Thank you. The next question is from Michael Turits of Raymond James. Your line is open.
Michael Turits - Raymond James & Associates, Inc.: Hey, guys. Just some clarification. You said, Jim, I think you said that you'd see reacceleration of growth in 1Q of 2017. Currently, the Street actually had you reaccelerating, obviously, now in 3Q and then further into 4Q. So the simple math, then, is that we're going to see 4% – no more than 4% again in fourth quarter?
James Benson - Chief Financial Officer & Executive Vice President: Yeah. We're not specifically providing guidance. But you are right that based on those comments that – and the reason we didn't call for growth acceleration in the fourth quarter is we've been very clear with you guys in the past that the fourth quarter is heavily dependent upon holiday seasonality. And we didn't want to call acceleration in Q4 knowing that it's uncertain what holiday seasonality is going to be. I think our confidence that we will see reacceleration in Q1 is very high. But I'd say, Q4, it depends upon the holiday season. And if we have a very, very strong holiday season, both on the Media side and on the Web side, yeah, you may see reacceleration in Q4. But I'd say our confidence is very high for entering 2017, and that there's a possibility in the fourth quarter depending upon how the holiday shakes out.
Michael Turits - Raymond James & Associates, Inc.: And then, if I can get a follow-up, Jim. The customer that you said would be reducing its traffic, and I assume you meant dollars, too, in 3Q, is that one in the same – one of the top two that we were talking about? Because that's what I wondered. If it's not...
James Benson - Chief Financial Officer & Executive Vice President: Yes. Yes it is.
Michael Turits - Raymond James & Associates, Inc.: So it is one of the top two. So that it still continues.
James Benson - Chief Financial Officer & Executive Vice President: That's right. So as we mentioned in the last call that we had signaled that our visibility to traffic and revenue volumes for these, in particular, the top two customers is certainly greater in three months than it is in six months to nine months. And this particular customer's traffic and revenue was a little bit softer in Q2 than what we expected. And we are now projecting that that's going to be the case in the third quarter as well. It is probably important to note we've been in – we're trying to provide additional information for the sake of helpfulness that – of the top two customers, one of the top two is pretty much in line with where we thought. It's just one of them that's a little bit lower – the traffic volume. That customer tends to introduce a bunch of features on their platform. And it's difficult to predict the adoption rate that they have of their end users. And so traffic came in a little bit lighter than we expected. And we're calling that now for Q3. And while we're not providing guidance beyond Q3 that I'd say that particular customer is a customer that we're going to stay pretty close to as far as where do we think traffic volumes are going to go longer term.
Michael Turits - Raymond James & Associates, Inc.: Am I done or do I get another question?
Tom Barth - Head-Investor Relations: Michael, we'll put you in the back end of the queue here.
Michael Turits - Raymond James & Associates, Inc.: Thanks, guys.
Tom Barth - Head-Investor Relations: We've got a long list. Thank you, though. Yep.
Operator: Thank you. The next question is from Keith Weiss of Morgan Stanley. Your line is now open.
Sanjit K. Singh - Morgan Stanley & Co. LLC: Hi. This is Sanjit Singh for Keith Weiss. Thank you for taking the question. I wanted to revisit your comments on the potential for acceleration in 2017. Is that just a function that the comps are going to be easier? Because some of the catalysts that you have this year in terms of supporting traffic in 2016, you guys mentioned the Euro Cup, we have the Olympics. That doesn't happen next year. So I wanted to parse out the case for acceleration in 2017, given that some of these events are falling off in 2016.
James Benson - Chief Financial Officer & Executive Vice President: I think you've got part of it. Obviously, we believe that what we're seeing with these large Internet platform customers, the top six that we talked about, and notably, we're really talking about two of the six that we've seen more substantial revenue declines. As Tom mentioned, we see more traffic in revenue pulled off of our platform in the last few quarters. Our expectation going forward is that if we do see declines, the declines will be much more modest than what they've been. So, yes, there will be a component of it that is an easier comp with these large customers. I think it's also fair to say that while we have marquee events like the Euro Cup, like the Olympics, like a presidential debate, and they do contribute to some level of revenue. As we said in the past, these events by themselves are not huge needle movers on revenue. They just happen to be proof points around what's – the opportunity is for more and more consumption of content online. And that's really more what they represent than anything else. So, yes, you're not going to have as big an event period, but you're going to have other traffic activity just in general. There's going to be more video delivery consumed. There will continue to be more consumption of social media, there will continue to be more gaming releases, there will continue to be more software downloads. And all of those will be contributors to our ability to get revenue reaccelerating.
Sanjit K. Singh - Morgan Stanley & Co. LLC: In relation to that, you guys mentioned that OTT is starting to ramp for you guys. Is there any way to frame how much of a contributor the OTT business is having on your underlying growth rate? Maybe that growth rate of – that 15% ex the top two. How much of a contributor is OTT today to that underlying growth rate?
James Benson - Chief Financial Officer & Executive Vice President: Yeah. It's a difficult thing to size that – I'd say what we tried to do is – because we have many customers that tend to do multifunction activities that they serve videos as well as doing other things – like they actually serve software downloads. But based on the customer grouping that call it our pure play, pure play video delivery over the top customers that – it's not a huge contributor to revenue in the near term. It just isn't. What we're seeing is steady growth in that customer base in the traffic. Steady growth in revenue. But you have not seen a step function move to viewing content via those platforms. They are growing steadily. They're growing nicely, but there has not been a catalyst yet to see a huge movement of people cutting the cord and moving online. So I think they'll be a steady grower. But today, the larger contributors to revenue in the Media business are still software download customers, gaming, and social media.
Sanjit K. Singh - Morgan Stanley & Co. LLC: Understood. Thank you very much.
Operator: Thank you. And the next question is from James Breen of William Blair. Your line is open.
Jim D. Breen - William Blair & Co. LLC: Thanks for taking the question. In terms of visibility on the large customers that obviously – it's weighing on the stock the most. How far out can you see with those 10 (sic) [6] (41:12) customers in terms of the predictability of the revenue into the forward quarter? Obviously, the guidance for this quarter – for the third quarter is lower than what the Street was. How lumpy is that potentially going forward?
James Benson - Chief Financial Officer & Executive Vice President: Yeah. It's six customers, not 10.
Jim D. Breen - William Blair & Co. LLC: Sorry.
James Benson - Chief Financial Officer & Executive Vice President: And I would say, like I've said all along, that our visibility is certainly much better in the three-month window. We do have good relationships with all of these customers. And so you have some visibility about what's going to happen thereafter. But it's certainly less. We certainly know that these customers intend to remain loyal Akamai customers. The question is how much of the traffic do they continue to serve themselves and how much of the traffic do we serve? It also depends upon, for some of these customers, new capabilities that they introduce. There may be newer capabilities that they introduce that their CDN cannot support. So it's very possible that you see a reacceleration in this customer base. Not all these customers are trending downward. It's notable with two of them, but even one of these two, but depending upon launching new offerings, could be a reacceleration in growth for that customer as well. So it's tough to call. It depends upon decisions that they make in their company around things that they're going to introduce and the capabilities that they have and don't have. So I know it's not the answer that you want. But I think it's – that's just a fact that our visibility is pretty good near term. Good relationships with these customers for the long term, but the ability to call a specific number in 2017 and beyond is just – is difficult.
Jim D. Breen - William Blair & Co. LLC: Is some of this visibility consumer-driven based on consumer usage patterns, so even the companies your customers don't really understand it until the end of the quarter for them?
James Benson - Chief Financial Officer & Executive Vice President: It's funny you say that. Many times these big customers come to us and our ability to project what's happening with traffic is better than theirs, because you're really anticipating what happens to their end users. And sometimes we have better intelligence on that based on historical levels than they do. But there's a bunch of variables that contribute to that, plus it's also capabilities that they introduce and what their CDN can and can't do.
Jim D. Breen - William Blair & Co. LLC: (43:45) previously you talked about the two largest customers being in the 6% of revenue range. Might that be something closer to 4% now while those six customers all be sort of less than 2% of revenue?
James Benson - Chief Financial Officer & Executive Vice President: So those customers, as Tom mentioned, were a little over 5%, maybe like 5.5% in Q2. As I said in the last call, it's hard to predict a percentage because a percentage is based on what the company does in aggregate. So I do expect that those two customers are certainly, given that one of them we think is going to actually move and serve more of the traffic themselves, I do think they will be less than 5%. A specific number is tough to call, as I said because I don't know what the rest of the business is going to do, but, call it, roughly in that range is probably where they'll be.
Jim D. Breen - William Blair & Co. LLC: Okay. Great. Thanks.
Operator: Thank you. And the next question is from Mike Olson of Piper Jaffray. Your line is open.
Mike J. Olson - Piper Jaffray & Co. (Broker): All right. Thanks. Sorry, I'll keep beating this horse here. I doubt you want to get too granular. But before it sounded like the primary reduction in revenue from the big six companies was really just from those two largest customers, so are you seeing that decline extend further into the other four of the big six? Are they all declining? Or are some of them actually still growing?
James Benson - Chief Financial Officer & Executive Vice President: No, some of them are growing. As I said before, just to clarify, we grouped these customers for the reasons that Tom outlined. We know there's concern about DIY. We know these customers are well-known to have DIY. And we wanted to make sure that we were helpful to the investor community around ring-fencing, what was concern about what these large customers could do. That's why, we've done that. It doesn't mean that they're all trending in the wrong direction by any means. And while they all have DIY capability, several of them are increasing their use of Akamai over time. But, as you know, with large customers, large customers go through reprices. Large customers – there's a lot of things that affect large customers. But I would say that notably two of the six are serving more of the traffic themselves. One of the six in particular. The other ones have been, over the past, very healthy and growing Akamai customers. And so I think that you're going to have in that grouping a mix bag of customers that are growing and customers that may not be growing.
Mike J. Olson - Piper Jaffray & Co. (Broker): Okay. And then you mentioned that EBITDA margins may be somewhat capped and more in the high 30%s for some period of time. Would that be alleviated if we see revenue growth reaccelerate in the first half of 2017? Or is there a reason why that lower EBITDA margin target would extend beyond the end of this year?
James Benson - Chief Financial Officer & Executive Vice President: Yeah. It all depends on revenue volumes. And it all depends upon how much the volumes uptick. The reason I signal that in the near term we may need to operate in the high 30%s is that we're making the right investments in the business. And what we're not going to do is we're not going to constrain investment. We're going to be responsible, of course, to try to manage investments in line with the revenue moderation but we're going to make the investments we believe are right for the long term trajectory of the business. And if it so happens, the revenue volumes are a little bit lower then we could be in the high 30%s for the near term. But, again, as I said in the past operating at the model that we've outlined, which is the low 40%s, is dependent upon revenue volumes, is dependent upon possible M&A, and is dependent upon network build-outs that we do in particular. So those things are still all the same. We happen to be going through revenue volume that is a little bit less than we had expected. And we're not going to stop making the investments that we think are necessary.
Mike J. Olson - Piper Jaffray & Co. (Broker): Thank you.
Operator: Thank you. And the next question is from Colby Synesael of Cowen and Company. Your line is open.
Colby Synesael - Cowen & Co. LLC: Great. So I'm going to ask questions similar to what have already been asked, but slightly different. You mentioned that these top six customers represented about 18% of revenues a year ago, now about 11% and the top two, I think, were about 12% a year ago, and now 5%, so both of those the delta's about 7%. So it seems like the remaining four of the big six, if you will, have been growing roughly in line with that of the company, which this quarter was about 6%. So for those other big four, that 6% growth, is that a deceleration over the last few quarters? Or is 6% growth relatively what they've been growing at? And, I guess, where I'm going here is, if it is a deceleration, which would be my guess, the concern is obviously that's going to go further down. And it goes back to all these questions around visibility. I appreciate that for 2017 you think growth's going to accelerate, but it sounds like it's based more on easy comps and the fact that these two top customers are getting to a point where they can't go that much lower, at least that one in particular. What can you give us in terms of confidence or conviction that these other big four just aren't going to continue to see their own growth slowing? Thanks.
James Benson - Chief Financial Officer & Executive Vice President: Well, we have very good relationships with those customers. Generally, we have pretty good visibility. Obviously one of the six did decelerate a little bit more than we expected this quarter. We're now forecasting that for Q3 as well. We do very valuable services for these large customers. Some of them have had their own do-it-yourself solution for a decade. And we have grown share against it. So I think we did not – as I said before, we did not introduce these six in any way to concern you that we think there's a problem there. We did it because we know you're concerned about those kinds of companies. And we wanted to reassure you that the impact they have on our business is small. And in fact, for many of them, there is substantial upside to the business. And I think that the key thing to focus on is that we have outside of that group, there's potential in that group for growth. But outside of that group, we have a $0.5 billion business growing at 15% a year with a very rich product road map that I think will propel growth into the future. So, again, to reiterate, the fact that we're talking about six is not because we think there's major problems in those six. It's simply to talk about that class of customers. And so you can understand exactly where we're getting our revenues and how we're doing.
Colby Synesael - Cowen & Co. LLC: Okay. And then, I guess, my follow-up question then, is regarding some of those big six – or top six, some of them actually offer their own CDN businesses, particularly the Amazons, the Googles, and the Microsofts, and I appreciate the partnership with Microsoft, in particular. But is there also something (51:11) here that those guys are also not just limiting their business with Akamai, but also potentially becoming increasingly more competitive as well?
Frank Thomson Leighton - Chief Executive Officer & Director: No, I don't think so. We have competed with those companies' CDNs for a long, long time. In at least one case for probably close to a decade. We compete very successfully even with their in-house business. And that's because we provide a higher level of quality, greater scale, greater reliability, and, of course, security. So this is not a new phenomenon. We've been competing very successfully against these companies' offers for a long time. And I expect that we will continue to compete successfully against them in the future.
Colby Synesael - Cowen & Co. LLC: Great. Thank you.
Operator: Thank you. The next question is from Mark Mahaney of RBC Capital Markets. Your line is open.
Jim Shaughnessy - RBC Capital Markets LLC: Hi. Good afternoon, guys. Thanks for taking our question. This is Jim Shaughnessy on for Mark. Again, just on the top six, is there any way you could give us some context around the size of these top six customers roughly? And maybe the next tier of customers? How much bigger are these customers to you in terms of size versus, say, that next tier? And I have one follow-up. Thanks.
James Benson - Chief Financial Officer & Executive Vice President: Well, as you know, the two that we've been talking about are now a little over 5% of our revenue. And two of the other four are pretty small Akamai customers, but are big Internet entities. And so we did want to talk about that. I think there's upside in those accounts. And then, there's two more that are substantial Akamai customers. Well over 1% of our revenue. So you have four that are pretty large and you have two that are pretty small in terms of their impact on Akamai.
Jim Shaughnessy - RBC Capital Markets LLC: Okay. Great. Thanks. And then a quick follow-up. In terms of upcoming renewals with any of these top six, have any recently taken place? And are there any upcoming, say, in the next few quarters that we should keep an eye out for? Thanks, guys.
Frank Thomson Leighton - Chief Executive Officer & Director: Sure. You want to think about these customers as coming up for renewal every one to two years is very typical. So we have experienced – some of them have had renewals recently. And we would expect renewals coming up over the next quarter or two. So that's an ongoing process with really all of our customers and these folks as well.
Jim Shaughnessy - RBC Capital Markets LLC: Thank you.
Operator: Thank you. The next question is from Ed Maguire of CLSA. Your line is open.
Ed Maguire - CLSA Americas LLC: Hi. Good afternoon. I was wondering if you could provide a bit more context into the specific types of media traffic where you're seeing the insourcing activity and whether that's coming across all of the top six.
James Benson - Chief Financial Officer & Executive Vice President: The insourcing of traffic is mostly around files where quality matters less and then it's easier to do. The extreme example being a background software download. At the other end of the spectrum, you might have live or linear broadcast where somebody's paying to watch it. And so as you get to the easier end of the spectrum, that's where I would say most of the traffic has moved in-house, software downloads and so forth or some videos where the quality might matter less. On the other side of the house, and as we talked about, our OTT business is growing very well, much faster than the Media business as a whole. And that's because you have – it's more difficult to do with a high-quality level, especially live and linear. And people are often paying to watch it. And so you really want to have a good experience there.
Ed Maguire - CLSA Americas LLC: Great. And could you comment on just the state of the sales force pipeline productivity rates and in particular, your degree of confidence around the pipeline and growth expectations for the second half of 2016 as it pertains to security and also performance as well? Thanks.
James Benson - Chief Financial Officer & Executive Vice President: Right. Customers in the pipeline wouldn't be signed until later in the year. Then, of course, there's the integration and recognition of revenue. So you wouldn't start seeing a revenue stream from anything in the pipeline until next year. That said, the sales force has been productive. Bookings have been very strong. And so we're optimistic about the future growth there. Particularly in Cloud Security, a lot of the customers are now buying products first based on security and then adding performance. It's great to see that adoption of our security offer in the business.
Ed Maguire - CLSA Americas LLC: Great. Thank you.
Operator: Thank you. The next question is from Tim Horan of Oppenheimer. Your line is open.
Timothy Horan - Oppenheimer & Co., Inc. (Broker): Thanks, guys. Just following up on a previous question. It does seem like the big six now are building out a lot more of their own cloud capabilities, and some seem to be bundling in a little bit more CDN. So, Tom, it just seems to be different competition from what we've had in the past. I know Google, their CDN is in beta. Akamai's had their CDN out there for a while. I guess, you're obviously not concerned about competition from them, and a lot of investors are. Can you maybe tell us a little bit more detail why you're not concerned? Then are they really just competing on the Media side? Or do they also have Performance and Security applications out there or capabilities? Thanks.
Frank Thomson Leighton - Chief Executive Officer & Director: Well, I'm concerned about all our competitors. That said, we see much more competition from dozens of other companies than generally we would have from the large cloud providers. Our performance is a lot better. We don't really see the competition at all from them with the security product capabilities. It's primarily around delivery. We've been competing against at least one very large cloud company for nearly a decade that is known to bundle in CDN services. We have a lot of our customers use that company for hosting their website, either it's stored there or with compute, and they use Akamai to accelerate – to provide the delivery of the video or accelerate the delivery of applications or to secure the content. So I don't see any change in terms of the competition from these large Internet infrastructure companies against Akamai. So no change there. Now, for their own content, as we've talked about at great length, there's a couple of them that are delivering more of their own content. And that, of course, has had the impact on our overall revenue growth rates this year. But in terms of competing with other third parties, no. No change there in terms of the impact they're having on our business.
Timothy Horan - Oppenheimer & Co., Inc. (Broker): But it does seem like, too, there's been a lot of new startups out there. And are they using some of the cloud infrastructure getting built? Or there just does seem to be a lot more news articles out there. Are you seeing any more competition from these startups?
Frank Thomson Leighton - Chief Executive Officer & Director: There are a lot of startups out there. I think that's always been the case, too. They don't use the cloud providers. What we do see is the attackers, they use the cloud infrastructure. And they can mask where they're coming from to make it harder to defeat them by coming from the big cloud companies. But we see the main competition is from the folks that have been doing it for a decade. And the one big change we've seen in the competitive marketplace has really worked in our favor and that is the major carriers. As I mentioned, several years ago, most of those major carriers competed actively against Akamai. And now the vast majority of those carriers partner with Akamai and make use of our technology. And that's been the one fundamental shift in the competitive landscape. And when I say competitive, I mean now an entity that's competing with us for third party content. So the major shift in the competitive landscape has been favorable. We've always had a lot of startups. For a long time we've had companies that have competed against us and they would be the majority of the competition. The cloud companies have been out there for, most of them for a long, long time, and no shift there. The only shift that's impacting our revenue is the DIY and a couple of large accounts, but that's not competing for third party content, and I don't expect it to.
Timothy Horan - Oppenheimer & Co., Inc. (Broker): Thank you.
Operator: Thank you. The next question is from Matthew Heinz of Stifel. Your line is open.
Matthew Heinz - Stifel, Nicolaus & Co., Inc.: Hi. Good afternoon. I guess, first off, starting with the OTT opportunity, could you just highlight some of the key factors that you think will drive a more democratized marketplace? I guess, outside of the one or two dominant platforms out there. And where, in terms of product offerings or customer segments, do you see the best traction around OTT going forward?
Frank Thomson Leighton - Chief Executive Officer & Director: I think there's certainly a set of aggregators and they are growing and also the broadcasters going out directly as well. That is growing. And I think right now you just see all different avenues being explored by the major content owners and broadcasters. And so I don't see right now a single offer, an aggregated offer hitting the marketplace that would take over. I think you'll see a lot of seeds planted and flowers will bloom. And both aggregation and the broadcasters going direct with their content. And we service all of those entities. We're seeing strong OTT growth among the aggregators as well as the broadcasters who are taking some of their content and making it direct.
Matthew Heinz - Stifel, Nicolaus & Co., Inc.: Okay. That's helpful. And then as a follow-up, can you just highlight your progress on some of the network cost initiatives that I guess have been underway for a while now? But do you expect to continue to see leverage in the colocation line – expense line? And I see server count picked up a bit again this quarter. So what should we expect going forward in terms of the server count?
Frank Thomson Leighton - Chief Executive Officer & Director: Well, yeah, we're always working on lowering our costs to try and to get more bits per second out of each square foot of colo, out of each kilowatt hour, out of each dollar of CPU. And we have a really great track record there. A lot of initiatives underway and I expect to see continued progress. As Jim noted, we're in a situation right now where we do have, in some geographies, capacity that's available. And so you see us in a situation where our CapEx for server purchases is a little bit less than our long term model. And as traffic growth reaccelerates – and if the traffic growth is quite strong outside of the few accounts that we've talked about, that fills up that capacity and that helps, as well. As you've got fixed cost and you have a little bit extra capacity in some markets that hurts the margins and your costs a little bit. But I think we've had good progress there. We will continue to have good progress, plenty of initiatives underway to improve efficiency.
Matthew Heinz - Stifel, Nicolaus & Co., Inc.: Okay. Thank you very much for taking the questions.
Operator: Thank you. The next question comes from Sterling Auty of JPMorgan. Your line is now open.
Unknown Speaker: Hi. This is (01:03:17) in for Sterling. Thanks for taking my questions. Most of my questions were asked, actually, so maybe just quickly on any impact you might see from Brexit, if you can give us more color on that both on the revenue side and the cost side that will be really helpful. Thanks.
James Benson - Chief Financial Officer & Executive Vice President: Yeah. There's no real direct impact from Brexit that we see at this point in time. Obviously, there's been currency fluctuations. And so that can change the foreign exchange rates. There can be impact on the equity markets, but I don't see any real impact to our business.
Operator: Thank you. And we have time for one more question. The final question will come from Vijay Bhagavath of Deutsche Bank. Your line is open.
Vijay Bhagavath - Deutsche Bank Securities, Inc.: Yeah. Thanks for the last question. Yeah, hi, Tom, Jim. Give us color, if you may, on how you plan to fundamentally lower the cost of Media Delivery? I hear that you have some interesting technology from Octoshape, peer-to-peer media delivery. I'd like to better understand. Is this a work-in-progress and could it potentially impact Media business margins over the next few quarters? And I have a quick follow-up.
Frank Thomson Leighton - Chief Executive Officer & Director: Yeah. We're investing a great deal to substantially lower the cost of Media delivery. And that, in fact, the Octoshape acquisition, that was part of the acquisition thesis. We've been very happy with that acquisition. It also greatly improves performance at the same time. We are in the process of integrating their technology across our platform. And you will see us be delivering more of our content as we go forward from clients and client devices. In some countries, that is happening already. And it does substantially lower our cost and that enables us to pass on lower pricing for our Media customers.
Vijay Bhagavath - Deutsche Bank Securities, Inc.: And then, quickly, Tom, on enterprise security, help us understand what is Akamai's sustainable differentiation in enterprise security. We do hear that Cisco, F5 and several of the security pure-plays are quite active in enterprise security, including cloud-based security. So I wanted to understand what would be your differentiation? What different angle would you take in enterprise security? Thanks.
Frank Thomson Leighton - Chief Executive Officer & Director: That's a great question. And you will see as the market evolves, you have Akamai, which has expertise in the cloud, has tremendous capacity, has great performance capabilities now bringing very strong security technology into our platform. You have, on the other side, companies that have past experience in security as a box that is purchased and deployed in the enterprise's data center. That world is going away. The security technology needs to move into the cloud. And it's very hard to take technology that was dedicated to a single customer and operated by that customer in their data center and now make it in the cloud to try to make it work on a multi-tenant environment, give it sufficient capacity and make it perform well. And on top of all that make it be affordable. So we have tremendous home field advantage in the cloud compared to the companies that are trying to figure out how to move into the cloud. And I think it's because of this that you see several of the – some of the well-known box providers now being bought by private equity or looking for ways to evolve the company, because it is hard to take what they have and produce the kind of capabilities that Akamai can now offer in the cloud.
Vijay Bhagavath - Deutsche Bank Securities, Inc.: Excellent. This has been very helpful. Thank you.
Frank Thomson Leighton - Chief Executive Officer & Director: Thank you.
Tom Barth - Head-Investor Relations: Okay. Thank you, Latoya. And in closing, we'll be presenting at a number of investor conferences and events throughout the remainder of the quarter. Details of these can be found in the Investor Relations section at Akamai.com. And we thank you for joining us and wish everyone a nice evening.
Operator: Thank you. Ladies and gentlemen, this concludes today's conference. You may now disconnect. Good day.